Operator: Ladies and gentlemen, thank you for standing by. Welcome to the First Quarter 2016 Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Instructions will be given at that time. I would now like to turn the conference over to Ed Pierce. Please go ahead, sir.
Edward L. Pierce - Chief Financial Officer & Executive Vice President: Thank you. Good afternoon and thank you for joining us today. Before we get started, I'd like to remind everyone that our presentation contains forward-looking statements representing our current judgment of what the future holds. Although we believe these statements are reasonable, they are subject to risks and uncertainties and our actual results could differ materially from those statements. Some of these risks and uncertainties are described in today's press release and in our SEC filings. We do not assume the obligation to update statements made on this call. Please note that on this call, we'll be making reference to pro forma information. Pro forma data assume the acquisition of Creative Circle and a small European Life Sciences business occurred at the beginning of 2015. For your convenience, our prepared remarks can be found in the Investor Relations section of our website. I will now turn the call over to Peter Dameris, our CEO and President, who will provide an overview of our results for the quarter. Peter?
Peter T. Dameris - President, Chief Executive Officer & Director: Thank you, Ed. Good afternoon, everyone. I would like to welcome you to the On Assignment 2016 first quarter conference call. With Ed and me today are Rand Blazer, President of Apex Systems, Mike McGowan, COO of On Assignment and President of Oxford Global Resources, and Ted Hanson, Executive Vice President of On Assignment. During our call today, I will give a review of the markets we serve and our operational highlights, followed by a discussion of the performance of our operating segments by Rand and Mike. I will then turn the call over to Ed for a more detailed review and discussion of our first quarter results and our estimates for the second quarter of 2016. We will then open the call up for questions. Now, on to our first quarter results. Our results for the quarter exceeded the high end of our previously announced financial estimates for revenues, gross profit, earnings and Adjusted EBITDA. Revenues for the quarter were $582 million, up 35.3% year-over-year on a reported basis and up 17.7% on a pro forma basis. This marked the fourth consecutive quarter of accelerating revenue growth. Our growth rate reflected, among other things, the contribution from our hiring surge of sales and recruiting consultants that began in the second half of 2014 and higher overall productivity. Virtually, all of our divisions contributed to our strong first quarter performance. Our size and service offerings enable us to grow faster than the published staffing industry growth rate of 6% and we believe that we are well-positioned to generate solid, above-market revenue growth rate in the future. Revenue growth came from both our local, mid-market and large national accounts, reflecting strong customer demand. We believe based on current performance that this solid growth will continue. Our IT business continues to see high demand from our customers, driven in part by greater adoption of staff augmentation as a viable alternative to outsourcing, offshoring and consulting. With respect to recent production, our weekly assignment revenues, which exclude conversion, billable expenses and direct placement revenues, averaged $44 million for the last two weeks, up 18.1% over the same period in 2015. Adjusted EBITDA for the quarter was $62.4 million or 10.7% of revenues, up from $38.7 million or 9% of revenues in the first quarter of 2015 on an as reported basis. As a reminder, our gross and Adjusted EBITDA margins are lower in the first quarter of every year due to payroll tax resets. Integration and cash generation related to our acquisitions continue to be at or above our expectations. Since the closing of the Creative Circle acquisition, we have repaid $134 million of our debt. Our current leverage ratio is 2.80 times trailing 12 months Adjusted EBITDA. We estimate our leverage ratio to be approximately 2.65 times by the end of the second quarter of 2016. We continue to see signs that the ongoing debate regarding the on demand workforce or gig-economy is accelerating the usage of contract labor. Fractionalization of human capital by using the staffing industry's services is truly the only way to avoid the risk of misclassification of employees as independent contractors. Our customers have and are realizing this and that is why we believe the secular growth opportunities for the entire professional staffing industry are so attractive. We also believe that we are well-positioned to service our customers' needs, as technology rapidly evolves and is adopted. While we are sensitive to and conscious of the fears of an economic slowdown in the U.S., to-date, we have not seen a significant change in our customers' normal purchasing behavior for our contract assignment services. We continue to see solid demand from the end markets we serve and continue to benefit from improved productivity of the additional head count that we added during our hiring surge in the second half of 2014 and 2015. Those productivity levels are in-line with our expectations. I will now turn the call over to Rand Blazer, President of Apex Systems, who will review the operations of his segment. Rand?
Randolph C. Blazer - President, Apex Systems, Inc.: Great. Thank you, Peter. The Apex Segment, which consists of the Apex Systems, Lab Support, and Creative Circle business units, reported strong results for the quarter. Revenues for the segment were $433.2 million, up 20.8% year-over-year on a pro forma basis. Revenues from Apex Systems, which accounts for 73.6% of the segment's revenues, were up 21.5% year-over-year. This performance reflects, among other things, higher demand in our end markets and continued improved contribution from our field sales teams. Lab Support's revenue growth was also strong with growth rates higher than the previous four quarters. Creative Circle, which was acquired on June 5, 2015, reported revenues above our expectations. This unit continues to perform well, with year-over-year pro forma growth rate for the quarter at a high rate. Our gross margin for the segment was 29.1%, which was slightly lower than our expectations and estimates. Increased growth from Apex's top accounts, which revenue typically carries a lower gross margin, was the biggest contributor to the shortfall. Our segment's contribution in terms of EBITDA continued with strong performance and increased conversion of gross profit to EBITDA on a year-over-year basis. With respect to Apex Systems, the IT staffing division, revenue growth was propelled by a number of factors including the following. Double-digit Q1 revenue growth on a year-over-year basis in all of our accounts in all seven industry verticals we service. Number two, growth in our top accounts led the way with continued revenue acceleration. Third, Apex local branch or mid-market business contributed with high single-digit growth rates in Q1, and lastly, our sales force productivity also grew nicely in the quarter, which I referenced before, supporting both our revenue performance and the productivity needed to drive our conversion rates. Our Lab Support and Creative Circle units are seeing continued good opportunities for growth as well with the market for creative marketing remaining solid. Overall, the divisions that make up Apex Systems each had a strong performance in the quarter. With that, I'll turn it over to Mike McGowan to discuss Oxford Segment results.
Michael J. McGowan - Chief Operating Officer, President, Oxford Global Resources: Thanks, Rand.
Randolph C. Blazer - President, Apex Systems, Inc.: Yeah.
Michael J. McGowan - Chief Operating Officer, President, Oxford Global Resources: Thanks, Rand. The Oxford Segment includes Oxford, CyberCoders, our perm placement business, and Life Sciences Europe. The segment had revenues of $148.9 million for the first quarter of 2016, up 11% year-over-year. Gross margin for the quarter was 41.4%, down 20 basis points year-over-year, primarily due to our business mix. Oxford's revenue for the first quarter was $114 million, which comprises 76.6% of the segment's revenues which were up 10.4% year-over-year. Oxford's gross margin for the period was 32.3%, slightly higher than the 32.1% reported in the first quarter of 2015. Oxford has had continued consolidated year-over-year growth throughout 2015 and into 2016, primarily driven by growth in our larger key accounts, continued sharp focus on assigning consultants within our targeted skill disciplines, increased demand for EMR implementations, upgrades and optimization projects, and ongoing demand for coding and consulting services. Our segment's permanent placement revenues, virtually all from CyberCoders, were $21.5 million, up 9.1% year-over-year on a pro forma basis. While our growth rate was above published industry growth rates for the quarter, it was lower than previous quarters. We believe that the slower growth which we started seeing at the beginning of the year, is related to uncertainties surrounding the health of the U.S. and global economy and customers having less urgency in filling their permanent employee needs. We do believe, however, that we will grow our permanent placement revenues at or above industry growth rates for the rest of 2016. Moreover, we will continue to invest in new technology that will more efficiently identify and match relevant candidates to our open job orders. Our European revenues grew to $25.2 million in the first quarter, up 21.2% year-over-year on a pro forma basis. The segment's consolidated revenue growth was the result of varying degrees of year-over-year growth in all of our disciplines and all of our business units. Finally, throughout the first quarter and into the second quarter, we have made investments in head count to focus on the high-end digital needs of our clients. I'll now turn the call over to Ed Pierce. Ed?
Edward L. Pierce - Chief Financial Officer & Executive Vice President: Thank you, Mike. Before I review our financial results for the quarter, please note that we have revised certain of the supplemental financial information tables in our earnings release. As you can see, we added pro forma and constant currency data by segment. Because of the immaterial effect on the quarter of the year-over-year fluctuations in foreign exchange rates, we will not be making any further references to constant currency on this call. As Peter mentioned earlier, our financial results for the quarter were above the high-end of our previously announced estimates. Our pro forma revenue growth for the quarter was 17.7%. Excluding the contribution from the two businesses acquired in the second quarter of last year, revenues were up 16.9% year-over-year. Our assignment revenues were $549.6 million, up 18.1% year-over-year on a pro forma basis. The year-over-year growth rate for the quarter was over 4 percentage points higher than the preceding quarter. The higher growth rate in part benefited from one additional billing day during the quarter and an easier prior year comparison as Q1 of last year was the lowest growth rate quarter of 2015. Our permanent placement revenues were $32.5 million, up 11.3% year-over-year on a pro forma basis, which was significantly lower than the preceding quarter. The lower growth rate reflects the market conditions that Mike discussed earlier, as well as an easier year-over-year comparison for Q4 of last year. Our gross margin for the quarter was 32.3%, which was slightly below our previously announced financial estimates. The slight compression in margin was primarily mix driven, as Apex Systems reported higher than expected revenue growth, and there was a lower mix of permanent placement revenues. As we have stated before, Apex Systems has a lower gross margin than certain of our other units, but a higher conversion of gross profit into Adjusted EBITDA due to its scale and operating efficiency. SG&A expenses were $139.9 million, or 24% of revenues. Our adjusted SG&A expenses, which exclude the $2.3 million in acquisition, integration and strategic planning expenses, which we do not include in our financial estimates, and non-cash expenses of $12.2 million, were $125.3 million, or 21.5% of revenues. Our adjusted SG&A expenses were $1.8 million, or 1.5%, above the high end of our previously announced estimates for SG&A expenses, which was primarily due to commissions on higher than estimated gross profit, higher bonus accruals and investments in some new digital practice areas. The adjusted SG&A expense margin of 21.5% for the quarter was 1.1 percentage points lower than Q1 of last year as a result of improved operating efficiency. This year-over-year improvement was achieved despite the incremental costs of the hiring surge in the second half of 2015 of $1 million to $1.5 million, higher incentive bonus accruals as operating performance in the current quarter was in line with or above our incentive targets whereas operating performance in Q1 of last year was generally below our targets, and the cost of investments in new practice areas. Non-cash SG&A expenses were in line with our previously announced estimates. Regarding the $2.3 million in acquisition, integration and strategic planning expenses, virtually all related to the integration of certain operating units onto Oxford's front and back office systems. Most of this work has been completed and beginning next quarter, we expect to see lower integration costs. Adjusted income from continuing operations for the quarter was $35.4 million, or $0.66 per share. The calculation of adjusted earnings per diluted share is set forth in our press release. Adjusted EBITDA, a non-GAAP measure also defined in our press release, was $62.4 million, or 10.7% of revenues. Cash flows from operating activities were $37.3 million and capital expenditures were $7.3 million. During the quarter, we paid down $33 million of our long-term debt. Now, turning to the financial estimates for the second quarter of 2016, we're estimating revenues of $592 million to $602 million. Adjusted income per diluted share of $0.76 to $0.79 and Adjusted EBITDA of $71 million to $74 million. These estimates do not include any acquisition, integration or strategic planning costs. Our revenue estimates imply pro forma year-over-year growth of approximately 12%, which is about two times higher than the published industry growth rate. I will now turn the call back over to Peter for some closing remarks. Peter?
Peter T. Dameris - President, Chief Executive Officer & Director: Thank you, Ed. We continue to believe our scale, size and breadth of services has us well positioned to take advantage of what we believe will be a historic secular growth for the staffing industry and dynamic changes in the technology world as it moves more into the digital one. While the entire On Assignment team is very proud of our performance, we remain focused on continuing to profitably grow our business and increase our rate of growth. I'd like to, once again, thank our many loyal, dedicated and talented employees whose efforts have allowed us to progress to where we are today. I would like to now open the call up to participants for questions. Operator?
Operator: We'll go to the line of Tobey Sommer with SunTrust. Please go ahead.
Kwan Hong Kim - SunTrust Robinson Humphrey, Inc.: Hi. This is actually Kwan Kim on for Tobey. Thanks for taking my questions. First off, what are the trends you're seeing in your larger accounts, I guess what drove the higher growth there for Oxford and Apex?
Peter T. Dameris - President, Chief Executive Officer & Director: It's what we said in our prepared remarks that we're well-positioned within the accounts because of our size and breadth of services that many other competitors just can't respond to, we've worked with the lot of these customers for a long term. And in this particular period, they were active and executing against their technology needs and shifting IT service spend between the different deployment models of outsourcing, offshoring, staff augmentation, internal execution and project consulting. So it was a productive market for us to compete in.
Kwan Hong Kim - SunTrust Robinson Humphrey, Inc.: Okay. And what is the constant currency organic growth rate implied in guidance?
Edward L. Pierce - Chief Financial Officer & Executive Vice President: It's about the same. It's what it is currently, okay. And there was no material effect, as we mentioned earlier, as it relates to the year-over-year change, and so, Q2 pretty much implies the same thing.
Kwan Hong Kim - SunTrust Robinson Humphrey, Inc.: Got it. And could you talk about the trends you're seeing in bill rates across your competitive landscape.
Peter T. Dameris - President, Chief Executive Officer & Director: Yeah, they're consistent with what we're seeing kind of in the first quarter, so there is stability.
Operator: Next, we'll go to the line of Kevin McVeigh with Macquarie. Please go ahead.
Kevin McVeigh - Macquarie Capital (USA), Inc.: Great. Thanks so much. Hey just tremendous, tremendous job. Peter, can you just help us understand a little bit the success you folks driving (19:03) source and candidates because I almost feel like with IT where it is, we're in a candidate recession, and off of that, have you had to shift some of the sales folks into sourcing or just given the numbers you show outpace in the industry, just want to understand that a little bit more and just again tremendous, tremendous job.
Peter T. Dameris - President, Chief Executive Officer & Director: Yeah, I mean, Kevin, each company has their own business model and strengths and weaknesses. What I would tell you is the tightness of the marketplace really hasn't changed significantly in the last couple of quarters. We really do benefit with regard to our scale and size in years of servicing some of our larger customers. We really don't compete head-to-head on a regular basis with some of the other companies that have reported. I mean we are taking market share from some of the large diversified commercial staffing companies when you compare our growth rate and that of other companies to their IT staffing growth rates. And we do turn the rheostats. I mean sometimes we focus more on recruitment than we do sales. But all-in-all, it hasn't been a quantum shift, because there's some new dynamic in the marketplace. I would tell you that the marketplace, at least for our business model and for our customers, has been pretty consistent with what we saw the last two quarters, as far as demand, supply tightness. If we've seen anything, I think on a permanent placement basis that the candidate has gotten a little pickier and is going to wait a little bit longer to accept a position.
Kevin McVeigh - Macquarie Capital (USA), Inc.: It's helpful. And then just in terms of sales force investment, is it fair to say that two-thirds of those folks are at kind of where you'd want them to be from a productivity perspective or we pretty much do that at this point?
Peter T. Dameris - President, Chief Executive Officer & Director: No, I mean we're still gaining productivity. I don't have that number in front of me, whether it's 50% or two-thirds, but we're not at full contribution and productivity, and we continue to add people. We've added a number of people to really have a focused effort in some of the higher end early adoption skills that's for Oxford and those people just hit the ground in the last 45 days.
Kevin McVeigh - Macquarie Capital (USA), Inc.: Got it. Congrats again. Nice job.
Operator: George Tong with Piper Jaffray. Please go ahead.
George K. F. Tong - Piper Jaffray & Co. (Broker): Hi, thanks. In both your Apex and Oxford Segments, can you discuss whether you're seeing elongating sales cycles and whether you're seeing evidence that the candidates supply dynamic is in any way constraining your growth?
Peter T. Dameris - President, Chief Executive Officer & Director: For our business, for our customers, no. The only place that we told you that we've seen any sort of elongation is on the perm side.
George K. F. Tong - Piper Jaffray & Co. (Broker): Great.
Peter T. Dameris - President, Chief Executive Officer & Director: But on the contract side, no.
George K. F. Tong - Piper Jaffray & Co. (Broker): That's helpful. Within the Creative Circle, can you walk through how much of the growth in the quarter was driven by new store growth versus same store growth and provide us with an update on cross-selling efforts?
Peter T. Dameris - President, Chief Executive Officer & Director: Yeah. So the vast majority was same store sales. We are opening two to three offices this year, but it'd be de minimis compared to the total revenue. And we continue to thoughtfully plan and design how we want to help customers from creation to monetization. So it's business as usual, it's the strength of their existing customer relationships that's driven their 20% growth.
George K. F. Tong - Piper Jaffray & Co. (Broker): Got it. And then, lastly, a large part of growth in Apex this quarter came from top accounts, which carry a lower gross margin. Can you discuss how you expect top accounts to contribute to growth going forward and if outside growth there could cause EBITDA margin pressure acknowledging the higher flow through from gross margin to EBITDA?
Peter T. Dameris - President, Chief Executive Officer & Director: Yeah, no, I mean, Rand you can follow up, but first of all, top accounts are very, very important to us. Their deep relationships that we've had multiple years of experience and credibility work. And as we said in our prepared remarks, even though the margin may be less, the EBITDA margin is not. We have great leverage and operating efficiency. So we're generating comparable EBITDA margins on that than we are in our mid-market business because of the efficiencies we have and how we service those accounts. And Rand, do you want to add anything?
Randolph C. Blazer - President, Apex Systems, Inc.: No, I think that's it. We trade off a little bit of gross margin, but we know we can productively implement the greater volume business that they give us which converts to EBITDA. So lastly (24:21) if you look at our performance, our EBITDA goes up – has been trending up around conversion in percent of revenue, so what you said, Peter, is right.
George K. F. Tong - Piper Jaffray & Co. (Broker): Great. Thank you.
Operator: We'll go to the line of Gary with RBC Capital Markets. Please go ahead.
Gary Bisbee - RBC Capital Markets LLC: Hey. It's Gary Bisbee. How are you doing guys? And I guess I'll add my congratulations too, it's nice to see someone defy the malaise (24:47) of the staffing rule. Hopefully, you'll get credit for the stock you own (24:50). Let me just ask one more question about the large accounts. Obviously, it sounds like things have gotten better. Can you help us understand some of the drivers of that? I mean how much of it practically speaking is just you had an easy comp, because this is a pretty poor quarter a year ago relative to over the last few quarters having gained momentum? And in particular, what are you seeing from the bank customers and energy, and a few other places that you struggle at some point, is it broad, is it new areas picking up or is it sort of all the above? Thank you.
Peter T. Dameris - President, Chief Executive Officer & Director: I mean, Gary, what I would share with you is we've had four consecutive quarters of accelerating growth. We try to give you as much information so that our investors can make a long-term investment. There was a temporary ebb in the first quarter and second quarter of 2015, but these aren't little customers that have 50 internal employees, these are Fortune 400 companies that may have some financial challenges because of regulation or fines, but they have a technology plan that has to be executed. And it may move around quarter-to-quarter, but in the long-term, they're spending hundreds and hundreds of millions of dollars annually with us. So collectively it's large accounts. So it's not – I wouldn't say there's anything that for the industry itself has been a huge shift to the positive side. It's just a little more back to normality in spending and people executing against their plans for technology and new product development. Rand, do you want to add?
Randolph C. Blazer - President, Apex Systems, Inc.: No, no. I think that's good. It's – there's lots of work to be done in companies and in all of our industries, and we've broadened the number of accounts we service over the year and we always do that, year-in and year-out, plus deeper penetration in the accounts that we have serviced as Peter said for a long time. So it starts with the fact that (26:55). They have project needs and IT needs. And they're spending on that ebbs and flows and we're there to capture it. And right now, we're in the capturing phase.
Gary Bisbee - RBC Capital Markets LLC: Okay. And then, can you provide us an example or context around the comments that Peter you made and I've heard from you in the past that your scale and breadth of offerings is helping you gain share or grow more quickly than some others in the market. Is that just the concept of getting on the preferred list, and then being able to drive volumes at big accounts or are there other practical ways that that's really driving you to outperform?
Peter T. Dameris - President, Chief Executive Officer & Director: I mean, Gary, when you have large spend programs at major Fortune 400 companies and they come out with request for proposals, there's only a handful of companies that really have the scale, the breadth and the size to credibly respond to it, and post-winning credibly services. And so, Bill and Ted's excellent staffing firm cannot bid on something that's going to have 1,000 placements over a year. And so, we've seen business driven to the larger players who have multi-years of experience in servicing large accounts, playing to our benefit. And as you see whether it was the navy shipyard or whether you see cyber breaches at certain consumer stores and things like that, people worry about who touches their data and who enters their premises. So then, again, size and sophistication and risk management matters. And because of our size, we spend more time and money on things like that than a little $150 million staffing company does. And that's what's driving our competitiveness in those major accounts.
Gary Bisbee - RBC Capital Markets LLC: Yeah. Fair enough. And then, just one last one from me. Any other thoughts on just the balance sheet and at what levels you'd look to do something else, obviously, you're bringing the leverage down very quickly?
Peter T. Dameris - President, Chief Executive Officer & Director: Yeah. I mean we're very pleased with our cash generation, and we've had the privilege of leveraging 3 times to about 3.8 times and rapidly de-levering and we have good credibility with our credit rating agencies, our banks and with our investors that they know what we're going to do with our excess cash and we kind of gave guidance unless there was an extraordinary deal and we tried to demonstrate how quickly we can deleverage and get to about 2.5 times and then we would reconsider. So we gave you a forecast of where we think we're going to be at the end of the second quarter. So we're rapidly getting to the point where we'll be considering alternative uses for our free cash flow. It's not that we don't feel comfortable levering up, it's just we made a commitment and we want to demonstrate how rapidly we can delever, because we will be back in the market some day to lever up to acquire something.
Gary Bisbee - RBC Capital Markets LLC: I think I was just...
Peter T. Dameris - President, Chief Executive Officer & Director: So it's relatively (30:12) consistent.
Gary Bisbee - RBC Capital Markets LLC: No, I guess I was thinking more from the perspective of the stock spend weak, it's up certainly cheap (30:19) given your performance. And if you'd pause on the delevering potentially to think about buying stock, if this report doesn't get it moving meaningfully in the other direction, but I appreciate the commentary.
Peter T. Dameris - President, Chief Executive Officer & Director: Yeah, we love our stock. We will do it – we will return capital efficiently to our shareholders and we're in value creation for more than just 30 days. So we're excited about the flexibility that we have.
Gary Bisbee - RBC Capital Markets LLC: Fair enough. Thanks.
Peter T. Dameris - President, Chief Executive Officer & Director: Operator?
Operator: We'll go to the line of Sara with Bank of America. Please go ahead.
Sara Rebecca Gubins - Bank of America Merrill Lynch: Hi. It's Sara Gubins. It looks like growth accelerated during the quarter and into the first two weeks of this quarter. Is that fair? And also I wanted to just check if I'm comparing the right things, does the 12% pro forma growth guidance for the second quarter that you mentioned compared to the 18% that you've seen in the last two weeks?
Peter T. Dameris - President, Chief Executive Officer & Director: I don't understand what you mean by compare.
Edward L. Pierce - Chief Financial Officer & Executive Vice President: No, it does not, because it does not include perm.
Peter T. Dameris - President, Chief Executive Officer & Director: Yeah.
Edward L. Pierce - Chief Financial Officer & Executive Vice President: Or the two weeks does not.
Sara Rebecca Gubins - Bank of America Merrill Lynch: The 18% does not include perm, but the 12% does?
Edward L. Pierce - Chief Financial Officer & Executive Vice President: Yes.
Sara Rebecca Gubins - Bank of America Merrill Lynch: Got it. So, could you just help us understand the conservatism in the – whether or not there is conservatism in the guidance baked in versus what you saw in the last couple of weeks?
Peter T. Dameris - President, Chief Executive Officer & Director: I would just repeat the comment I made on the first quarter conference call, Sara, which is if we can do better, then we'll report it, but what good does it do to get over your skis in this market. We got taken down 8% today, because of inaccurate read through of the trends in our business versus the trends in another very good business and it happened a week ago because of a commercial staffing business. So we're focused on delivering the best results we can and given you numbers that are 100% faster growth than the industry. You don't figure out how you want to value it.
Sara Rebecca Gubins - Bank of America Merrill Lynch: Okay. And then, turning to perm, in your prepared remarks, you mentioned that CyberCoders revenue growth of 9% saw some slowing, because of hesitancy around the health of the economy, but you're not seeing that in temp. And so, first, I'm curious about why you think that is, and then, the second, could you talk to us about how perm has been trending in April and what you're assuming for perm trends in the guidance?
Peter T. Dameris - President, Chief Executive Officer & Director: Yeah. So a couple of things. The drivers for utilization of staff are very (33:05) much different than the drivers of permanent placement and the whole fractionalization of human capital and turning a fixed cost into a variable cost. And on the perm side, beyond the obvious that we had a very, very strong 2015 and the growth rates are hard year-over-year that – whether it's a trend, we don't know yet, but it is growing slower than it did last year, but it's less. Our total perm and conversion fees are like 5.9% of total revenue. So it's – we're watching it, but we're not prepared to playing that there's been a permanent slowdown. There has been a change in the mindset of the candidates and a little less kind of velocity and the execution from the customer.
Sara Rebecca Gubins - Bank of America Merrill Lynch: Great. And then, in the guidance, what are you expecting for perm, are you assuming a greater slowdown?
Peter T. Dameris - President, Chief Executive Officer & Director: We don't break that out.
Sara Rebecca Gubins - Bank of America Merrill Lynch: Okay. Great. Well, thank you very much and also thank you for putting the prepared remarks up in advance, that's incredibly helpful.
Peter T. Dameris - President, Chief Executive Officer & Director: Yeah, my Texas twang (34:19) doesn't get transcribed well.
Sara Rebecca Gubins - Bank of America Merrill Lynch: Thanks.
Operator: We'll go to the line of Jeff Silber with BMO Capital Markets. Please go ahead.
Jeffrey Marc Silber - BMO Capital Markets (United States): Thanks so much and let me echo the same thing and about to having the prepared remarks. It really helps a lot. Peter, you had mentioned the fact that you didn't want to get it out over your skis and I do understand that. But if maybe we can step back and compare where you are now to where you were three months ago, what really drove the sizeable upside surprise in the quarter?
Peter T. Dameris - President, Chief Executive Officer & Director: Well, it was just continued execution on the part of some of our teams with some major accounts. We worked very hard last year, won some new accounts, and once we won them and started servicing them, we were getting a good share of the business that was available there. The people that we've hired over the past year are gaining productivity. Oxford had a particularly strong quarter in healthcare, IT and ERP. So it was just it was a healthy market and good execution.
Jeffrey Marc Silber - BMO Capital Markets (United States): Okay. Fair enough. I know you broke out the Creative Circle revenues in the quarter, and forgive me, even though I loved your prepared remarks, did you state what the Creative Circle business grew on a pro forma basis?
Peter T. Dameris - President, Chief Executive Officer & Director: I did verbally, but we didn't in the prepared remarks. It was about 20%.
Jeffrey Marc Silber - BMO Capital Markets (United States): 20%. And are you seeing faster growth in that business because of the election cycles or something going on specifically in that vertical?
Peter T. Dameris - President, Chief Executive Officer & Director: No. It's just – it's a good marketplace. There is real value-add. We do not do a lot in the political cycle. And they're the largest in the industry and they're getting their fair share of captured business.
Jeffrey Marc Silber - BMO Capital Markets (United States): Okay. Great. I appreciate the color. Thanks so much.
Operator: Edward Caso with Wells Fargo. Your line is open.
Edward S. Caso - Wells Fargo Securities LLC: Hi. Just maybe so to segue from the last comment, in your history, Peter, what happens around presidential cycles? Do you see your business pause at all either before or after elections?
Peter T. Dameris - President, Chief Executive Officer & Director: Ed, I'm embarrassed to tell you, I really haven't thought about that or reflected. I guess, thinking on my feet, I don't think it really affects the spend cycle. I guess the people think that one particular candidate is going to lower the boom on tax credits or amortization and people may want to accelerate spend and get things completed. I think people probably spend more time surfing the Internet, seeing what story about what someone said, but all-in-all, if I was to draw something from it, I think if someone was fearful that a benefit or a privilege was going to be taken away, they would try to execute before it's getting taken away. But we really haven't factored that into the guidance that we gave you.
Edward S. Caso - Wells Fargo Securities LLC: My other question is assuming it's a calendar year client, they generally finish up their budgets early in the year, and then, start to ramp as the March quarter moves along, and if they're nervous about the economy sometimes, they ramp slower. Are you seeing – what are you seeing this year say relative to the last few years as far as the embracing of the budget – the clients' budget?
Peter T. Dameris - President, Chief Executive Officer & Director: Yeah, I mean, that's why in our prepared remark that we said we haven't seen any significant change into our customers' normal purchasing behavior.
Edward S. Caso - Wells Fargo Securities LLC: Great. Thank you and congrats.
Peter T. Dameris - President, Chief Executive Officer & Director: Yeah.
Operator: We'll go to the line of Mark Marcon with R. W. Baird. Please go ahead.
Mark S. Marcon - Robert W. Baird & Co., Inc. (Broker): I'll add my congratulations and also my appreciation of the prepared remarks and providing that in advance. I wish every company in the industry did that. With regards to Creative Circle, can you talk a little bit about the gross margins that you're seeing there? How are they comparing relative to a year ago? How do you think they're going to unfold?
Peter T. Dameris - President, Chief Executive Officer & Director: Yeah, they're good, they're stable. As we made comments several times, Mark, when we did our underwriting work, one of the takeaways that – or conclusions that we came to is that we thought the margin for the next couple of years would be stable. Now, on a reported basis, as you know, they get 5%, 6% of their revenue from perm and then the rest is contract, and the contract margin is good and it's been stable. If there was to be, we haven't seen a big fall-off there, in particular, but if you were to see a big fall-off in perm, then the reported gross margin for Creative would go down just because of mix, but we're not seeing pressure on the contract assignment gross margin.
Mark S. Marcon - Robert W. Baird & Co., Inc. (Broker): Great. And can you talk a little bit about the prospects for cross-selling with Apex and Oxford, and how – now that it's been part of the portfolio for a while, what sort of cooperation you're seeing between the different groups?
Peter T. Dameris - President, Chief Executive Officer & Director: It's good. I mean we prefer not to go into it in detail right now, but when you're growing as fast as we're growing right now, we've got some low-hanging fruit that we're not picking, because we're just trying to keep up with our own internal growth, but we are spending time. You've heard me use the phrase creation to monetization. Apex is known more for heavy tech – and Oxford for heavy technology creatives, known more for the creative user experience, and customers need to be able to do at all. So we're trying to stand in front of the customer and say, no one can provide that suite of service like we can.
Mark S. Marcon - Robert W. Baird & Co., Inc. (Broker): Great. And then, with regards to the Apex, just in terms of the Apex Systems, when we take a look at that growth with some of the larger accounts, appreciating that some of those larger accounts have other large players that they also work with and that may also have a large breadth of services. Do you feel like you were gaining share relative to some of those other ones for the specific accounts that you ended up gaining some incremental work on?
Peter T. Dameris - President, Chief Executive Officer & Director: I mean it's a count-by-count, but I would make this generic comment. There are three other companies that have reported, and their IT North American growth rates were substantially lower than ours. So if we're in the same accounts, then I'd assume we're getting a little bigger share of the spend than they are.
Mark S. Marcon - Robert W. Baird & Co., Inc. (Broker): And I mean some of them are very different in terms of the company that reported yesterday it's a great company, but plays in a completely different space.
Peter T. Dameris - President, Chief Executive Officer & Director: Right. We really do not compete with them.
Mark S. Marcon - Robert W. Baird & Co., Inc. (Broker): Right. So when we think about the companies that are comparable to you, both public and private, do you feel like you're gaining more relative to those true comps?
Peter T. Dameris - President, Chief Executive Officer & Director: No, I would say that and Rand, I like you to pick up, but the two that are maybe closest comps to Apex are both private.
Mark S. Marcon - Robert W. Baird & Co., Inc. (Broker): Right.
Peter T. Dameris - President, Chief Executive Officer & Director: I think one of them is growing comparable to us, the other one is probably less than us, but better than what you see from some of the broad line staffing firms. Rand, do you want to add anything?
Randolph C. Blazer - President, Apex Systems, Inc.: No. I agree, Peter. And I would say, if you look at the – in the earnings release, you'll see the concentration of our top 10 customers for Apex.
Mark S. Marcon - Robert W. Baird & Co., Inc. (Broker): Yeah.
Randolph C. Blazer - President, Apex Systems, Inc.: It has come down over the course of the year or so as they've been going through the gross perk (42:54), which implies we're gaining new accounts, we're growing in more accounts, and I think there's no question, we're taking some market share and some of the accounts we're in. And customers are also spending in some sectors of the economy, customers are spending more on IT, because that's a path to helping get more efficient as businesses. So I think all are contributing to the growth that we're seeing now.
Mark S. Marcon - Robert W. Baird & Co., Inc. (Broker): Great. And then, with regards to just to go back to Sara's question this with regards to – I fully appreciate – no need getting over your skis, but did you see acceleration as the quarter unfolded, I know April was up, but as the quarter unfolded and outside of perm, this time the core staffing, did it seem like it was pretty stable in terms of the month-to-month trends or was there any discernible pattern?
Peter T. Dameris - President, Chief Executive Officer & Director: Yes, I mean we remember the comment we made, Mark, I think it was to your specific question on the first quarter.
Mark S. Marcon - Robert W. Baird & Co., Inc. (Broker): Yeah.
Peter T. Dameris - President, Chief Executive Officer & Director: I mean this, we knew what our business was doing when we did the fourth quarter conference call and gave the first quarter guidance.
Mark S. Marcon - Robert W. Baird & Co., Inc. (Broker): Got it. And so, then when we just take a look at the guidance that you've provided, and again, no offense (44:14) getting over your skis, fully appreciate that, there is also a factor of – there are – the comps do get more difficult by month as the year unfolds...
Peter T. Dameris - President, Chief Executive Officer & Director: That's true.
Mark S. Marcon - Robert W. Baird & Co., Inc. (Broker): ...is that part of the reason for the – meaning, if we were just looking at it mathematically, would that be another factor just to say okay?
Peter T. Dameris - President, Chief Executive Officer & Director: Yeah, that's a very good observation and that is correct. I think Apex by itself grew about 280 basis points faster in the second quarter of 2015 than in the first quarter of 2015.
Mark S. Marcon - Robert W. Baird & Co., Inc. (Broker): Okay. Great. Thank you.
Operator: Tim McHugh with William Blair. Please go ahead.
Tim J. McHugh - William Blair & Co. LLC: Hi, yes. Thanks, guys. Just a few if I was – I guess, on the sales force, I think you talked about adding some people in Oxford and also you added a lot in two chunk over the last two years. When you look at how they're ramping up productivity and the yield, I guess, you're getting from it, what's the perspective at this point on needing to add another big chunk, all right, or are we at a point where we'll kind of grow gradually or how are you thinking about kind of sales force additions recognized probably more so as you get to later in the year, but what's your latest thinking there?
Peter T. Dameris - President, Chief Executive Officer & Director: Consistent with what we've said in that past, which was that, we think normal kind of 6% growth in our head count allows us to grow attractive growth rates and it's the hiring we're doing now is not so much as "surge" as it is tactical and strategic to try to get an early sizeable position and some attractive skill sets that others aren't servicing.
Tim J. McHugh - William Blair & Co. LLC: Okay. And you talked about large accounts spend and I apologize if I missed it, but the financial services vertical, I guess, what are you seeing there, given the kind of capital markets volatility? I think people are cautious, but I know you've got easier comps and have been seeing improving growth, so can you talk about more?
Randolph C. Blazer - President, Apex Systems, Inc.: Well, Tim, are you asking where we're seeing financial services growing double-digit year-over-year, on a quarterly basis, and it's accelerated some in the last couple of quarters. So we're gaining more accounts and we're also getting more penetration with some of the accounts we have. Is that the question you're asking, or you're asking...?
Tim J. McHugh - William Blair & Co. LLC: Yeah. I was looking for color, I guess why. I mean are you not sensing any sensitivity to spending, is it just some sort of project activity you're picking up or market share gains?
Randolph C. Blazer - President, Apex Systems, Inc.: Well, I think historically financial institutions has spent a healthy percent of revenues on IT. And I think in the past couple of years, it's been a little lower than like a normal 4% of revenues and so they're probably migrating back up to the 4% of revenues or slightly higher, number one. And number two, because they always have IT projects to do, whether it's supporting their customer base or consolidation of activities, they also have to grind out efficiencies, so collapsing and combining centers or building the centers of excellence in certain technologies are all the things they have to do. When they do that, that's opportunity for us. So I think that's kind of what's going on in that market.
Tim J. McHugh - William Blair & Co. LLC: Okay. And then Oxford, healthcare, IT, you talked about it was strong this quarter, that can be lumpy I guess. So I mean does it feel like it's – you've hit a better growth curve or is there any sense of that that's kind of project nature that just still hard to predict?
Peter T. Dameris - President, Chief Executive Officer & Director: Mike, you want to go first?
Michael J. McGowan - Chief Operating Officer, President, Oxford Global Resources: Yeah. Again, Tim as Peter said, we had a very good quarter and we're very optimistic for the next quarter as well. But you are right, it is lumpy, if you will, in terms of trying to forecast what's coming, our pipeline looks good. But in terms of what's really going to close is a big question mark. But overall, we see – we still see growth in that area. Some of the coding stuff is flattened out a little bit because of the ICD 10 issues, but overall we still see growth in that area.
Peter T. Dameris - President, Chief Executive Officer & Director: And Tim, I just don't think it's going to be as lumpy as it was at the end of 2014, because we're not facing the end of meaningful use. So we're going to have the constant common issues of implementation fatigue or budget constraint, but we're not going to have use it or lose it stimulus dollar, some settings. So that caused a lot of early spend, and then, kind of freezing towards the end. But it feels they didn't have enough time to start projects and get to meaningful use. So now, it's more steady state and normal lumpiness attributable to internal aspects of the person who's doing the implementation – the company that's doing the implementation.
Tim J. McHugh - William Blair & Co. LLC: Great. Thanks.
Operator: We'll go to the line of Randy Reece. Please go ahead.
Randle Glenn Reece - Avondale Partners LLC: If you were to compare your IT staffing mix by vertical markets with your read on the market as a whole, do you have underpenetrated and have the potential to gain share?
Peter T. Dameris - President, Chief Executive Officer & Director: It's a good question. Where we think we have a pole position that has helped us, but also heard us at times, Randy, is in the financial services market, because you've heard me state at industry events that the financial service industry is the earliest adopter, the biggest spender on technology. So in good times and also in bad times, we feel very good about having that pole position in the financial services world. We are not as big as I think we would like to be, based on the experience of – Rand used to run the government services for SAP and he has deep experience. And some of the federal government work and we think there's going to be more and more of that work coming down the pipeline. So we think that's an area where we're not as competitive as maybe somebody else. We do think we're very competitive in the technology world. And then, on kind of the manufacturing and consumer products, we hold our own, but I don't think we have a pole position. Rand, do you want to – and Mike do you want to add anything to that?
Randolph C. Blazer - President, Apex Systems, Inc.: No. I agree with you, Peter. Consumer, industrial, government are places where we can get more penetration. I think when you take Oxford and Apex's healthcare business units, we put a lot of emphasis into that in the last two years or three years. So we're pretty strong there now, but that strength gets more business. So – and I think yes, Peter is right. Financial institutions, we have very strong penetration, but there is other sectors. Financial services businesses, the businesses that vendors that support the banks, they're all opportunities for us. So there's plenty of markets still to go after.
Michael J. McGowan - Chief Operating Officer, President, Oxford Global Resources: And on the Oxford side, Randy, as you know, it's again lot more skill or disciplined base, but there is, as Rand just said, even from sectors, if you will, describing it the same way, we still certainly have opportunities to go after.
Randle Glenn Reece - Avondale Partners LLC: All right. And another question is regarding direct hire and conversion fees. Is there an implied assumption for how that revenue stream is going to behave in the second quarter?
Peter T. Dameris - President, Chief Executive Officer & Director: I think it's slower growth and that's the conservative position in our part. This may be a one quarter, two quarter phenomenon, but I just think we can provide a good value proposition for our investors without having to try to defend a higher growth rate, because we're just not seeing that right now. And some of it is the comps are difficult and some of it is just what we're seeing with regard to behavior from the candidates and the customers.
Randle Glenn Reece - Avondale Partners LLC: Would you expect the amount of direct hire and conversion fee revenue in the second quarter to be comparable with the first quarter or slightly moderately higher?
Peter T. Dameris - President, Chief Executive Officer & Director: We didn't break that out, Randy. It's going to be a non-event as it relates to revenue. It would have more of an impact on GP and EBITDA, but it's just a non-event on revenue.
Randle Glenn Reece - Avondale Partners LLC: All right. Thank you very much.
Operator: Sir, there are no additional questions at this time.
Peter T. Dameris - President, Chief Executive Officer & Director: Well, thank you for your attention, and we appreciate it, and we look forward to reporting our second quarter results. Thank you.
Operator: Thank you. Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation and for using AT&T Executive Teleconference Service. You may now disconnect.